Operator: Good afternoon, everyone, and welcome to today's Bio-Rad First Quarter 2024 Earnings Results Conference Call. [Operator Instructions]. Also today's call is being recorded [Operator Instructions]. And now at this time, I'll turn things over to Mr. Edward Chung, Head of Investor Relations. Please go ahead, Mr. Chung. 
Yong Chung: Thanks, Bob. Good afternoon, everyone, and thank you for joining us. Today, we will review the first quarter of 2024 financial results and provide an update on key business trends for Bio-Rad. With me on the call today are Norman Schwartz, our Chief Executive Officer; Andy Last, Executive Vice President and Chief Operating Officer; and Roop Lakkaraju, Executive Vice President and Chief Financial Officer.  
 Before we begin our review, I would like to remind everyone that we will be making forward-looking statements about management's goals, plans and expectations, our future financial performance and other matters. These statements are based on assumptions and expectations of future events that are subject to risks and uncertainties. Our actual results may differ materially from these plans, goals and expectations. You should not place undue reliance on these forward-looking statements, and I encourage you to review our filings with the SEC where we discuss in detail the risk factors in our business. The company does not intend to update any forward-looking statements made during the call today.  
 Finally, our remarks today will include references to non-GAAP financials, including net income and diluted earnings per share, which are financial measures that are not defined under generally accepted accounting principles. Investors should review the reconciliation of these non-GAAP measures to the comparable GAAP results contained in our earnings release. With that, I'll now turn the call over to our CEO, Norman Schwartz. 
Norman Schwartz: Thanks, Ed. First, what I want to do is officially welcome and introduce Roop Lakkaraju, our new CFO. He comes to us with a wealth of financial and operational experience which will certainly be valuable as we move forward. Roop has now been on board about 4 weeks and already contributing. In fact, Roop will walk you through our financial results for the first quarter in a few minutes. But I just want to say a few words. We have received questions about management turnover and succession in the last 6 months. I thought it would be useful to say a few words. So in short, as I think about it, each of these discrete departures is really centered around personal decisions, either related to other opportunities or retirement. From my perspective, it's all part of a normal progression for these individuals and for the company. And of course, with all of these individuals, I just want to take a minute to recognize and thank them for their contributions.  
 So as we move forward, we are making good progress filling some of these open positions. Some positions are being filled with external candidates like Roop, which gives the company an opportunity to bring in fresh outside experience and perspective. And others are being filled with internal candidates like Jim Barry, who we've recently announced as our new Head of Life Science. Jim brings a deep understanding of the company along with significant expertise in a variety of areas. So as I think about it today with Roop on board, the finance team is fully staffed. And we're close to an announcement on the new Head of Diagnostics. In addition, we have good initial candidate pool for the COO position. I do view these changes as opportunities to bring fresh insights and ideas to the table as we continue our transformational journey. So with that, maybe I'll turn the call over to Andy to provide an update on Bio-Rad's Global Operations. Andy? 
Andrew Last: Okay. Thank you, Norman, and good afternoon, everybody. Thank you for joining us. The first quarter of 2024 reflected a continuation of the same macroeconomic and market trends we had experienced in 2023 in the Biotech and Biopharma segments as well as China and Russia. As a result, our Life Science Group was in line with expectations and presented a soft quarter sales with a year-over-year decline which also reflected a tough comparison from Q1 of '23. In contrast, we were pleased with our Clinical Diagnostics group, which showed growth across all regions and provided a solid offsetting balance for overall Bio-Rad sales. Our Life Science business experienced double-digit declines, both across our Core and Bioprocessing product families. As previously communicated, our Process Chromatography sales, which have quarter-to-quarter lumpiness were down significantly against a tough compare in Q1 2023.  
 This reflects the general destocking trend across the industry and for us is the result of a few large customers still working through excess inventory. While we have seen indications of some customers starting to forecast purchase improvements, overall, we are expecting a further decline for Process Chromatography sales this year. However, we have converted some early customers from competing resins to our platform during the first quarter and have not lost any customers. As such, we remain positive on the long-term growth potential for this business. Overall, our Core Life Science business, excluding Process Chromatography Resins declined in the mid-teens in all regions, which was in line with expectations. Notably, declines were concentrated in instrument sales, whereas consumable and reagent sales were essentially flat, both sequentially and year-over-year.  
 We are also looking forward to new product launches this year, more particularly the new ChemiDoc Go platform and our new Single-cell Sample Prep Solution in Q2. And of course, the QX Continuum later in the year, all of which are contemplated on our outlook for the year. Our Digital -- our Droplet Digital PCR franchise was soft in Q1 again, with a tough Q1 2023 compare, but the decline was single digit compared to our overall Core Life Science sales. During the quarter, we continued to make progress on our strategy, and we announced two deals in support of driving penetration of the platform into advanced clinical diagnostic uses.  
 The first with Allegheny Health Network is focused on generating clinical evidence across a range of cancer types using Bio-Rad's Droplet Digital PCR technology for tumor-informed minimal residual disease monitoring of patients with solid tumor cancer following treatment. The second agreement is a collaboration with Oncocyte to commercialize their Advanced Transplant Monitoring Assays deploying Bio-Rad's QX600 Droplet Digital PCR System to provide a highly sensitive solution that could provide a more attractive alternative for laboratories that currently rely on centralized next-generation sequencing test providers. During Q1, we also released a new Multiplex Mutation Detection Assay, providing a comprehensive status readout of mutations in ESR-1, which is a key gene in breast cancer. We are very excited by the initial response we have seen for this assay.  
 We're also pleased to see a key partner, Geneoscopy, announcing FDA approval of ColoSense, a new noninvasive RNA-based colorectal cancer screening test, that runs on our Digital PCR platform. 
 Moving on to our Clinical Diagnostics business. We were very pleased with the broad-based performance of our products in Q1 as we saw solid mid-single-digit growth compared to a softer Q1 2023 with particular strength in EMEA and Asia Pacific. Strong sales in quality controls, immunohematology and diabetes were of note, an instrument supply for our clinical platform is now stabilized as we benefit from our new manufacturing facility in Singapore, which is fully operational. Reflecting on the first quarter's macroeconomic and market conditions, they broadly matched our expectations. We were pleased to see the positive trend for capital raises flowing into the biotech and biopharma markets, which is a prerequisite for second half growth.  
 Although we have not yet seen any signs of the funding making its way into orders and expect this to be a second half of the year impact. China remains soft for the Life Science business, although the Chinese governments stimulus announcement was encouraging for the longer-term recovery of the market. We also continue to navigate the sanctions imposed on Russia where we maintain supply of some critical Clinical Diagnostic products. In the U.S., finalization of the NIH budget was delayed until late March, and at a slightly lower level than anticipated. And in the key European markets, government funding was more of a mixed bag with Germany down and generally flat in the U.K. and France. With this backdrop in mind, we remain cautious on the magnitude and timing of the recovery in Life Science markets, but are still anticipating improvements in the second half. We continue to expect normalized growth through our Clinical Diagnostics business in 2024.  
 With that, I'll say thank you, and I'll now pass you to Roop to review the financial results. 
Roop Lakkaraju: Thank you, Andy. I'd now like to review the results for the first quarter. Net sales for the first quarter of 2024 was $611 million, which is a 9.8% decline on a reported basis versus $677 million in Q1 of 2023. On a currency-neutral basis, the year-over-year revenue decline was 9.6%. As Andy mentioned, the year-over-year decline was primarily the result of ongoing weakness in key Life Science end markets, somewhat offset by steady growth of the Clinical Diagnostics Group. Sales of the Life Science Group in the first quarter of 2024 were $242 million compared to $324 million in Q1 of 2023 which is a decrease of 25.3% on a reported basis and a decline of 25.2% on a currency-neutral basis. The year-over-year decline impacted most product and geographic areas. Excluding Process Chromatography sales, which can fluctuate quarter-to-quarter, Life Science Group revenue decreased 16.6% on a currency-neutral basis. 
 Sales of the Clinical Diagnostics Group in the first quarter were $369 million compared to $352 million in Q1 of 2023, which is an increase of 4.7% on a reported basis and 4.8% on a currency-neutral basis. Growth of the Clinical Diagnostics group was primarily driven by increased demand for quality controls, blood typing and diabetes. On a geographic basis, currency-neutral year-over-year revenue for the Diagnostics group posted balanced growth across all three regions. For the company, Q1 reported GAAP gross margin of 53.4% as compared to 53.5% in the first quarter of 2023 was in line with our expectations as we maintained a tight focus on manufacturing costs, which was partially offset by higher material costs and lower absorption.  
 Amortization related to prior acquisitions recorded in cost of goods sold was approximately $4 million in both periods. SG&A expenses for Q1 2024 were $215 million or 35.2% of sales compared to $226 million or 33% in Q1 of 2023. The decrease in SG&A spend was driven by the positive impact of our previously discussed cost reduction initiatives including lower employee-related expenses and discretionary spend as well as higher restructuring charges in the year ago period. Total amortization expense related to acquisitions recorded in SG&A for the quarter is approximately $1 million versus approximately $2 million in Q1 of 2023. Research and Development expense in the first quarter was $66 million or 10.9% of sales compared to $75 million or 11.1% of sales in Q1 of 2023. The year-over-year decrease was primarily due to decreased employee-related expenses and lower restructuring costs.  
 Q1 operating income was $45 million or 7.3% of sales compared to $62 million or 9.1% of sales in Q1 of 2023, primarily due to lower sales versus the year ago period, which were partially offset by our expense management initiatives. Looking below the operating line, the change in fair market value of equity security holdings, which are substantially related to Bio-Rad's ownership of Sartorius AG shares added $422 million of income to the reported results. During the quarter, interest and other income resulted in net other income of $24 million compared to net other income of $40 million last year. The primary driver of the year-over-year change is the lower Sartorius dividend, which declined to $18 million in Q1 of 2024 versus the quarter of 2023. The effective tax rate for the first quarter of 2024 was 21.8% compared to 18.7% for the same period in 2023. The effective tax rate reported in these periods was primarily affected by the accounting treatment of our equity securities. 
 First quarter reported net income was $384 million or $13.45 diluted earnings per share compared to net income of $69 million or a diluted earnings per share of $2.32 in Q1 of 2023. This change from last year is largely related to changes in the valuation of our Sartorius Holdings. 
 Moving on to the non-GAAP results. Looking at the results on a non-GAAP basis, we have excluded certain atypical and unique items that impacted both the gross and operating margins as well as other income. These items are detailed in the reconciliation table in the press release. 
 Looking at the non-GAAP results for the first quarter.  
 In cost of goods sold, we have excluded approximately $4 million of amortization of purchased intangibles of approximately $1 million of restructuring expenses. These exclusions moved to non-GAAP gross margin to 54.2% for the first quarter of 2024, which is flat to Q1 of 2023. Non-GAAP SG&A dollar spend was slightly lower on a year-over-year basis, but as a percentage of sales was higher due to lower revenue in Q1 '24. Specifically in the first quarter of '24, SG&A as a percent was 34% versus 31.3% in Q1 of 2023. In SG&A, on a non-GAAP basis, we have excluded the amortization of intangibles of approximately $1 million, approximately $2 million for an in vitro diagnostic registration fee in Europe for previously approved products and approximately $4 million of restructuring-related expenses. Non-GAAP R&D as a percentage of sales in the first quarter of 2024 was 10.5% versus 10.4% in Q1 of 2023. In R&D, on a non-GAAP basis, we have excluded approximately $2 million of restructuring expenses and a small acquisition expense. The cumulative sum of these non-GAAP adjustments result in moving the quarterly operating margin from 7.3% on a GAAP basis to 9.7% on a non-GAAP basis. This non-GAAP operating margin compares to non-GAAP operating margin of 12.4% in Q1 of 2023.  
 We've also excluded certain items below the operating line, which is primarily related to the increase in value of the Sartorius Equity Securities and loan receivable holdings of $422 million. The non-GAAP effective tax rate for the first quarter of 2024 was 22.3% compared to 20.9% for the same period in 2023. A higher rate in 2024 was driven by geographical mix of earnings and change in valuation allowance related to our deferred tax assets. Finally, non-GAAP net income for the first quarter of 2024 was $65 million or $2.29 diluted earnings per share compared to $99 million or a diluted earnings per share of $3.34 in Q1 of 2023. 
 Moving on to the balance sheet. Total cash and short-term investments at the end of Q1 2024 was $1.651 billion compared to $1.613 billion at the end of 2023. The change in cash and short-term investments from the fourth quarter of 2023 was primarily due to the change in working capital. Inventory of $783 million was essentially flat compared to $781 million in the prior quarter. For the first quarter of 2024, net cash generated from operating activities was $70 million, which compares to $98 million in Q1 of 2023. 
 Net capital expenditures for the first quarter of 2024 were $40 million, and depreciation and amortization was $37 million. Adjusted EBITDA for the first quarter of 2024 was $109 million or 17.8% of sales and excluding the Sartorius dividend, was 14.8%. The adjusted EBITDA for the first quarter of 2023 was $149 million or 21.9% of sales and excluding the Sartorius dividend was 16.8%. During the first quarter, we purchased 14,250 shares of our stock for a total cost of approximately $5 million or an average purchase price of approximately $330 per share. We continue to be opportunistic with our buyback program and still have approximately $275 million available for share repurchases under the current Board authorized program. 
 Moving on to the non-GAAP guidance. As referenced in Andy's commentary, we are seeing some encouraging signs in the Life Science end markets. However, we remain cautious on the magnitude and timing of the recovery for the Life Science Group but are still anticipating improvement during the second half of the year. We continue to expect normalized growth for the Clinical Diagnostics group in 2024. Taken together, we are maintaining our full year outlook with currency-neutral revenue growth to be between 1% and 2.5% and non-GAAP operating margin projected to be between 13.5% and 14%. I'll now hand the call back to Norman to make a few concluding remarks. 
Norman Schwartz: Thanks, Roop. Just to close it out, I'd like to reiterate that in spite of all that's going on around us, our strategy and our focus for the future growth of the company is intact. In our Clinical Diagnostics business, we have these leading market positions globally for our core platforms, and we continue to invest in supporting the growth and building a position in, for example, a new Molecular Diagnostics segment through the development of PCR-1 an acquisition we made some time ago and leveraging our Droplet Digital PCR platform into high-value niches. In Life Science, we continue to maintain a focus on Biopharma, especially for Digital PCR, our Process Chromatography products and new products in development, say, particularly around cell biology. We do believe the long-term opportunity for sustained growth in this Biopharma market segment is solid. And certainly, we also continue to invest to enhance our leadership in Digital PCR and other leading platform positions in the academic markets that we serve. 
 Overall, between Life Science and Diagnostics, we do believe we're well positioned to drive long-term growth as we move through this dynamic period. 
Yong Chung: All right. That concludes our prepared remarks, and we will now open the line to take your questions. Operator? 
Operator: [Operator Instructions] We go first this afternoon to Patrick Donnelly of Citi. 
Patrick Donnelly: Maybe start on the Life Science business. It came in a little bit light of what we were looking for. Can you talk about -- it seems like Process Chrome is an area you're calling out with a little bit of softness. Can you talk about what you saw in the quarter? And then obviously maintaining the full year guide, can you talk about the expectations for the Life Science business as we work our way through the year here and the growth expectations for the year on that segment? 
Andrew Last: Patrick, it's Andy. So let me take that question. So first on Process Chromatography in the quarter, I mean, big -- a tough compare to 2023 for sure, I think the Core Life Science business kind of really met the expectations. So we did call out that I think for us, Process Chromatography is softer than we anticipated. And that kind of drove the delta for us. As we look forward to the rest of the year, at this point in time, we're considering the Process Chrome is going to be softer than originally anticipated. I just want to reiterate because it's a valid question. We're not seeing that we're losing customers. We're maintaining share. In fact, we still believe we are winning share as we called out in the script. 
 On Life Science, it's just a higher level of uncertainty, I think, is where we sit right now. And most of the -- if not virtually all of the delta in Life Sciences instrument. The consumables and reagents are actually performing pretty consistently, sequentially and year-over-year. So it's just kind of -- it's the spend on -- capital spend on equipment, which is the major delta for us right now. 
Patrick Donnelly: Okay. So I guess when you think about maintaining a guide for the year overall, Process Chrome softened a bit. Are there offsets that came in better than you expected that are now -- you're thinking a little bit higher growth for the year? I'm just trying to figure out the balance here and the visibility into [ this? ] 
Andrew Last: Yes. So I think the core Life Sciences with the caveats that I just mentioned, I think we're -- it's in the line. There's some strength in clinical diagnostics that looks good to us right now. which kind of keeps us within our guide range overall. 
Patrick Donnelly: Okay. And then maybe just on ddPCR, how did that perform in the quarter? How are you seeing the competitive landscape there? How did things trend and expectations for the year on that front as well would be helpful. 
Andrew Last: Yes. So interestingly, relative to core Life Science, which was down mid-teens, the Digital PCR franchise was down single digit percentage. And it was all concentrated in the instruments. The consumable reagent pull-through was pretty good. And as we look forward, we view the franchise recovering in line with market recovery as we go through the remaining quarters in the year. Competitively, we're not seeing any change to our win-loss ratio. And of course, our major competition is calling out some improvement in their year-over-year performance. It's not lost on us, but we just want to reiterate that they're in a segment which we've not yet entered which we'll be entering later this year. 
Operator: We go next now to Dan Leonard of UBS. 
Unknown Analyst: Great. This is [ Lou ] on for Dan. I think the first question, I wanted to touch a little bit on the Life Sciences as well. Can you share a little bit more color in the order trends? And maybe also the funnel activities? I think you mentioned like about something improvement. Have you seen any increasing activities in some new customers? 
Andrew Last: Yes. So thank you for the question. It's Andy again. So I think where we sit right now are really encouraged by the influx of capital into Biotech, Biopharma. That really is a prerequisite to second half [ x ] growth. It's not showed up in our order books as yet. And [ no ] the funnel is we're starting to have more positive sentiment and conversations within that segment. But it's not showed up yet a hard and fast orders. 
Unknown Analyst: Got it. Appreciate it. So I guess I probably wanted to touch on a little bit on the guidance as well. So it does look at the second half, the ramp [ is a lot deeper ] both in the revenue and margin? And then also you just mentioned you haven't seen anything -- orders yet. So can you just maybe share a little bit in terms of the visibility and your confidence in maintaining the guide? And then also maybe how we should think about Q2 as well. Do you see improving signals in April? So could help you like to see the sequential improvement? 
Andrew Last: Yes. I think I kind of answered that question as a carry on from my previous answer as it relates to biotech, biopharma. And I do think that we need to see the kind of encouraging signs turn into orders for the second half, which obviously will generate the ramp. Process Chromatography, we do view as being really a more challenging year overall due to destocking. But we see some good growth in our Clinical Diagnostics business. And we envisage that continuing throughout the year. So I think really just a reconfirmation of the comments that we made in the script and my earlier answer. 
Unknown Analyst: Got it. Just final question on the gross margin. It does come better than what we expected given the lower volume. Can you share a little bit the drivers of that? And then what's your expectation for the full year? 
Roop Lakkaraju: Yes, this is Roop. I'll take this to start. First of all, it did come in a little bit stronger, which we were very happy about. And part of it was expected just based on the cost actions we've taken and these sort of things, but also what played a part is the mix. And so that helps support a little bit of a stronger gross margin there. I think as we think about the rest of the year, and as Andy pointed out, we feel good about the overall view for the full year on the gross margin based on mix and quarter-to-quarter movement, we may see a slight movement in that gross margin. But overall, for the full year, we still feel very confident as it relates to how it fits in with our overall outlook for the year. 
Operator: We'll go next now to Jack Meehan with Nephron Research. 
Jack Meehan: First question is for Norman. I was just wondering if you could give a little bit more color on when we should expect updates in terms of the management hires for the new COO? And also the plan for the new Head of Diagnostics? 
Norman Schwartz: Yes. I think we're getting pretty close on the diagnostics hire. I think we'll have something to announce pretty soon. And we've got a really good pool of candidates on the COO side. That will probably take a little longer, but we're pretty encouraged. 
Jack Meehan: Great. And then for Roop, first, welcome to Bio-Rad and I had a couple of questions for you. The first is, could you just talk about, like as you're new in the seat, how you went about sizing up the guidance for 2024? And second is, if you could just talk about the cadence you're expecting for margins starting from 9.7% to get to the full year target? Like how you feel like that phases throughout the year and how you got confidence in that? 
Roop Lakkaraju: Sure. So first of all, thank you for the welcome. In terms of the process on the guidance, first of all, the company has an existing process, business review cadence that was already in existence. And so part of this was really for me to seamlessly integrate into the existing processes. As part of those processes, we start out with looking at revenue on a quarterly -- quarterly basis with our sales teams and walking through revenue drivers and market conditions and these sort of things. And then profiling that against what we were expecting. And understanding how mix might affect the next piece, which is the margins and these sort of things. There's also a number of cost actions that have been taken historically that we were also monitoring the impact of those cost actions as well as kind of market dynamics around materials pricing, logistics, trends, these sort of things and how that might affect the margin progress. 
 So we then just kind of walked down through the different areas of the P&L. When we got to the OpEx, it really is more around a run rate, the effect of things like merit and how that plays through. So we walked through that analytically. And then getting down, obviously, to the operating income. So based on the different drivers and our expectations and feedback from our sales team on how the ramp might look, how then that might flow through the factory from an absorption standpoint, it gave us confidence on reiterating our guidance overall. Then also, just to finish off the thought, I think, to your phasing question that also gave us perspective on how to think about the quarter-to-quarter trend through the year. And if there's any kind of specific things that we need to call out or think about more specifically. 
Operator: We'll go next now to Conor McNamara at RBC Capital Markets. 
Conor Noel McNamara: Norman, just one for you. I appreciate the color on the management departures and how that -- the timing was a lot of it was personal related, but can you give us more color on how other nonmanagement employee retention has been? Has there been any fallout from some of these departures? 
Norman Schwartz: No, there hasn't. I mean, obviously, in a company of our size and actually any size, you have a certain amount of turnover that's natural every year in the kind of the 5% to 10% range. But -- but no, these departures have not precipitated anything else. 
Conor Noel McNamara: Okay. And then just the color you gave on some of these ddPCR partnerships those are great announcements. But can you just kind of talk about some of the revenue opportunity for Bio-Rad. And is that -- do you see additional equipment placements as a result of these there's consumable pull-through? What's kind of the expected ramp of any sales benefit for some of those announced partnerships? 
Andrew Last: Yes. Yes. Thanks, Conor. This is Andy. So there's a slightly different profile for each of these announcements. Allegheny is much more focused on the real clinical insight around minimal residual disease and how best to deploy our technology to be more effective in that area. So that's really a value creation through insight learning, clinical information. The Oncocyte is more tangible in that this is to generate longer-term systems placements and test sales for Oncocyte in particular, and then we'll have some beneficial effect from that. But that's kind of a long-term strategy. It will have no material impact in the very near term. And then Geneoscopy, we are the platform they chose to develop on. And as they succeed and with that platform moving forward, they will create a consumable and reagent stream for us. And if there's an opportunity, which we believe there is to take that solution beyond the U.S. and into other markets, that creates spoke test revenue and consumable revenue and the system revenue opportunities. None of this is what I would call immediate near-term impact, but it's really solid long-term strategy. 
Conor Noel McNamara: Great. And I don't know if this is your last earnings call, but if so -- best of luck in retirement, and Roop, welcome to the team. 
Norman Schwartz: Just to be clear, it won't be Andy's last earnings call. We've made sure of that. 
Operator: [Operator Instructions]. And gentlemen, it appears we have no further questions this afternoon. Mr. Chung, I'd like to turn things back to you, sir, for any closing comments. 
Yong Chung: Yes. Thank you for joining today's call. We will be at the RBC Capital Markets Global Healthcare Conference in New York next week, and we'll be back in New York in June for the Jefferies Healthcare Conference. So as always, we appreciate your interest, and we look forward to connecting soon. Thanks. 
Operator: Thank you, Mr. Chung. Ladies and gentlemen, we'll conclude the Bio-Rad first quarter earnings results call. Again, thanks so much for joining us, and we wish you all a great remainder of your day. Goodbye.